Eva Scherer: Good morning, ladies and gentlemen, and welcome to our Q1 conference call. All Q1 documents were released this morning and can be found also on our IR website. I'm here today with our CEO, Roland Busch; and our CFO, Ralf Thomas, who will review the Q1 results. After the presentation, we will have time for Q&A. Please be aware that the virtual Siemens AGM starts right after this call, and therefore, we must limit the time of the call to 45 minutes. With that, I hand over to Roland.
Roland Busch: Thank you, Eva, and good morning, everyone, and thank you for joining us to discuss our first quarter results ahead of our virtual AGM. We again delivered strong results, maintaining a consistent trajectory of profitable growth despite a weak macroeconomic and a challenging geopolitical environment. Let's begin with the key takeaways. The robust top-line momentum of our business once again highlights the full confidence our customers place in us. We support them in their digital and sustainable transformations. Book-to-bill reached a strong level of 1.21, driving order backlog to an all-time high of €113 billion despite negative currency effects. Orders at €22.3 billion grew 2% organically, and we were significantly driven by mobility by up to 92% due to several large orders. Smart Infrastructure delivered orders on a high level, slightly exceeding last year's record level on a comparable basis. And as expected, we saw ongoing normalization of short-cycle automation demand in digital industries on continued destocking by customers and Channel Partners. Channel Partner Inventories are still at elevated levels, particularly in China. As anticipated, demand showed a sequential improvement over the trough in the previous quarter. We expect this trend to gradually continue in the quarters ahead. Stringent backlog execution led to clear revenue growth of 6% to €18.4 billion overall. The highest growth contributions came from mobility, up by 12%, and smart infrastructure, up by 9%, while Healthineers grew by 6%. These Industries recorded a slight revenue decrease effects from lower book and bill order levels and tough comparables in automation were mostly compensated by clear growth in the software business. I'm particularly proud of the electrification business in Smart Infrastructure, showing great competitive strength with an excellent growth of 20%. The high momentum in the power distribution and data center verticals is continuing. Once again, the stringent execution of our operating model created substantial value. Industrial business profit of €2.7 billion reached its highest first quarter level ever. This translated into a strong profit margin of 15.8%. On top, we sharply improved free cash flow performance over a soft prior year and achieved a seasonally high €1.3 billion in our industrial business. After our successful start into fiscal 2024, we will further leverage our record order backlog, launch innovative products, expand the ecosystem, and continue stringent execution. Therefore, we confirm our guidance for fiscal 2024. Besides having confidence in our operational strengths, I'm convinced that technologies such as AI, are a powerful force for progress and provide abundant business opportunities for Siemens. My discussions with many customers and partners in Davos confirm this perspective across all our served markets. In addition to delivering on financial performance, we drive progress in executing our strategic priorities. At the Consumer Electronics Show in Las Vegas, we featured the great potential and concrete steps for the industrial meters. We highlighted transformative technologies with a series of partnership announcements and tangible customer examples. More details in a minute. The South transition in Digital Industries is fully on track, again, delivering annual recurring revenue growth of 15% in Q1. Looking at portfolio optimization, we further reduced our investment in Siemens Energy by transferring another 8% in the Siemens pension fund. Combined with governance changes, this led to a shift in the accounting method for the remaining 17.1%. Consequently, we expect no further P&L effects from Siemens Energy's stake. This marks a significant milestone. As announced in November, we closed the acquisition of an 18% stake in Siemens Limited India, accelerating the unbundling of business activities of Siemens and Siemens Energy in India. In addition, we closed some bolt-on acquisitions. Among them, HELOC a specialist in iBase and E-Truck fast charging solutions. Preparations for full independence of Innomotics are progressing well, and we continue to evaluate all options. Here are our key numbers. Revenue growth was regionally broad-based. EMEA and the Americas were up by 7%, while Asia and Australia grew by 2%, held back by softness in China. EPS pre-PPA, as reported came in at €3.19. Excluding the tailwind of €0.61 from our Siemens Energy stake, this resulted in a €2.58 driven by strong operational performance. Looking further into fiscal 2024, our healthy order backlog is a source of resilience and provides visibility in our system solution and service businesses. We saw continuing normalization of short-cycle product orders due to destocking across the value chain and corresponding backlog consumption. We anticipate some regional differences in how inventories will finally return to normal levels. Depending on the speed and scale of economic recovery, China might take longer. Our teams are leveraging experience and advanced data analytics to successfully manage through logistical challenges from current shipping restrictions in the Red Sea. So far, the impact is rather limited. Overseen by world-class supply chain teams, our strategically localized value chains are a key success factor in mitigating risk. I briefly talked about the importance of mutually beneficial partnerships and ecosystems to enable the industrial metaverse. We envision the industrial metaverse as a virtual world that is almost indistinguishable from the real world. People using AI can collaborate in real-time to solve real world challenges such as fast innovation, more sustainable product design, more efficient engineering and services in all phases of the life cycle of products, plants, and infrastructure. A great example is our strengthened partnership with AWS. It is based on our shared vision to democratize access and use of generative AI to companies of all sizes and industries. Siemens is integrating Amazon Bedrock, a service that offers a choice of high-performing foundation models from leading AI companies into Mendix, our leading low-code development platform. Mendix, today, has more than 50 million end users, more than 200,000 applications are running on AWS across various industries, a great foundation for scaling up. The integration of Amazon Bedrock will allow our customers to create new and upgrade existing applications with the power of Generative AI. A second high-profile partnership was announced with Sony. We are combining our Siemens flagship, Enix, design and engineering software with Sony's new spatial content creation system. It is featuring an XR head-mounted display and controllers for intuitive interaction with 3D objects. This solution enables designers and engineers to create and explore design concepts in a borderless immersive workspace. Intuitive and collaborative interaction will fuel further innovation in the industrial meters. The next key milestone for Siemens Accelerator, our open digital business platform, we launched the developer portal. This platform gives the community access to Siemens and partners' APIs as well as other developer resources, a marketplace with a user-friendly developer journey, will further drive platform adoption. Here, you can see some examples how industry-specific know-how in combination with our cutting-edge portfolio are crucial to achieve sustainability impact. Let me highlight 2 of them. An important agreement was announced with Intel. Together, we started a journey to collaborate on driving digitalization and sustainability of microelectronics manufacturing across global industry value chains. The focus is on advancing future manufacturing designs and evolving factory operations. Joint project teams are exploring a broad variety of initiatives such as optimizing energy management and reducing carbon footprints. Another area is enhancing efficiency and factory yields with automation and data-driven modeling solutions, the digital thread throughout all manufacturing and quality assurance processes. Heineken, is an excellent example of expanding on an initial decarbonization consulting project. First, our joint teams used an energy digital twin to simulate and analyze a typical Heineken brewery virtually. They identified energy savings potential of up to 20%, an average CO2 reduction of 50% at each site. As a second step, Siemens was selected as a partner for Heineken's long-term decarbonization program also building on trustful long-term customer relationships. We will implement a broad range of scalable solutions and services to reduce energy usage and CO2 footprint at more than 15 sites globally, and there is potential for more. I'm very pleased with the continuing progress of transforming the majority of our DI software business to about. ARR growth reached a very healthy level of 15% over prior year. And the cloud portion already stands at €1.3 billion, equaling 33% of total ARR. We expect to reach the 40% target 1 year ahead of schedule. All indicators point to a consistent performance, such as 12,600 customers having signed on to the SaaS business model. A vast share comes from small and medium enterprises. And with that, over to you, Ralf, to give further details regarding our operational performance.
Ralf Thomas: Thank you, Roland, and good morning to everyone. Let me share more about our successful start to the new fiscal year and expectations looking ahead. The automation business of Digital Industries saw as expected, sequential order growth after bottoming out in Q4 of fiscal '23. As expected, we recorded ongoing normalization of order patterns in our short-cycle automation business. As Roland mentioned, end customers and distributors continue to reduce inventory levels and were affected by muted economic activity and investments and demand in key regions such as Europe and China. Orders for DI in total were down by 31% at €4 billion on tough comps with a book-to-bill of overall 0.87%. Orders normalization was most pronounced in the Discrete Automation businesses. The software business again achieved a book-to-bill ratio above 1 after an exceptional fourth quarter and as indicated before, orders were below prior year on a lower volume from large contracts. Our backlog in Digital Industries further decreased to €10.4 billion there in software around €5 billion. The automation backlog stood at €5.4 billion, around €700 million lower compared to the fourth quarter and further on the way towards pre-pandemic order backlog reach. Revenue for DI was slightly down by 1%. Therein, automation was moderately down by 4% with discrete automation and process automation on a similar level affected by lower contribution from fast-turning orders. Software was off to a sound start and showed clear growth of 8.5%, driven by the PLM business, which was up by 13%. Revenue in EBITDA, as expected and indicated in November was flat year-over-year and sequentially lower after an exceptional performance in the fourth quarter of fiscal '23. Profitability reached 19.6%, which is the level we guided in November. This reflects our lower capacity utilization and related profit conversion in the automation businesses and the less favorable product mix compared to prior year. We anticipated a negative foreign exchange effect, which turned out at minus 100 basis points. Digital Industries recorded a neutral economic equation in the first quarter. Price increases from previous quarters and productivity gains offset cost inflation, mainly merit increases. As indicated, further ramp-up of productivity measures will lead to a net positive economic equation throughout fiscal '24. Cloud investments in the first quarter accounted for 120 basis points of margin impact, which we see also as a level for the overall fiscal '24 impact. Digital Industries improved cash conversion over prior year to 0.68%, which reflects a typical seasonal pattern due to incentive-related payouts. Operating working capital remained on prior quarter level. We expect a gradual catch-up in cash generation beginning in the second quarter. Now, let me give you the regional perspective on our top-line automation performance. As mentioned, automation orders saw further broad-based normalization of demand against tough comps. In addition, a sluggish economic environment reflected in soft PMI levels weighed on orders. As expected, this continues to be most visible in China where destocking effects might extend into the second half of fiscal '24. In our other key regions, Europe and the U.S., we see stock levels mostly being back to normal by mid-fiscal '24. In line with lower fast-turning automation orders and further backlog normalization, revenue in all key regions has been moderating from high levels. Looking at our key vertical end markets for the next quarters, official sources expect rather muted growth momentum for production output at our end customers, particularly in export-driven industries such as machine building. Our DI teams continue to see this development as transitional and expect an improvement driven by secular demand trends and better investment and demand beginning to materialize in the second half of fiscal '24. As indicated before, we are executing targeted investments in vertical-specific applications in a very careful step-by-step approach to increase customer value and maximize growth. At the same time, we are closely managing costs and implementing productivity measures. Looking ahead, we confirm our revenue growth outlook for fiscal '24 for digital industries of 0% to 3% and a profit margin range of 20% to 23%. This assumes, as indicated in November with our full-year guidance that following destocking by customers global demand in the automation business, especially in China, will pick up again in the second half of fiscal year. From today's perspective, after an expected soft first quarter, we will see further sequential order improvement in the second quarter, but still clearly lower year-over-year. We anticipate DI revenue for the second quarter to be moderately below prior year levels on tough comps. Software growth is expected to be strongly driven by higher EDA revenue, partially compensating weaker automation growth. We see the profit margin for the second quarter around the lower end of full fiscal year guidance of 20% to 23% compared to a very strong prior year quarter with a very favorable automation product mix and high capacity utilization. Now, let's turn to Smart Infrastructure, which again achieved a truly outstanding first quarter performance. The team delivered excellent top-line growth in robust end markets and improved operational profitability year-over-year for the 13th quarter in a row. In total, orders were up 1% on a high level, driven most notably by 4% growth in the Buildings business. Orders for electrification and electrical products again benefited from larger projects with repeatable and scalable solutions, especially in the data center business. Electrification was level with high prior year comparables, while Electrical Products was down by 3%. Record order backlog increased further to €17 billion. Revenue growth reached 9%, with the largest contribution from the electrification business by a remarkable 20%. Both buildings and electrical products continued their growth trajectory with 6% and 4%, respectively. Profitability reached a record level of 18.3%, benefiting from 190 basis points from a partial reversal of a liability related to past portfolio activities. SI's operational improvement benefited from higher revenue and increased capacity utilization. Headwinds from cost inflation mainly merit increases were overcompensated by productivity and impact of prior period pricing actions, which we expect to sustain throughout fiscal '24. Currency effects had a noticeable negative effect of 90 basis points in the first quarter. Free cash flow and cash conversion were robust and improved materially over prior year period. Operating working capital was seasonally up with higher inventory safeguarding further growth momentum. As in previous years, cash generation will rise strongly in the quarters to come. Looking at the regional top-line development, we saw the U.S. leading the way with 4% order growth on high levels driven by the buildings business and supported by large data center wins. Key growth engines for revenue were the U.S. and Europe, excluding Germany, both up double digit on stringent backlog execution. Secular growth verticals such as data center and power distribution as well as very strong service business field growth. Business in China continued to show softness on muted demand. Key demand trends and expectations with growth in real terms across our main verticals are consistent with prior quarters. Sustainability is a secular business driver in almost every market segment, such as electrification and renewables integration, energy efficiency, or safety in buildings, among others. After a strong start, we confirm our full-year guidance for revenue growth of 7% to 10% and the profit guidance of 15% to 17%. For the second quarter, we see the comparable revenue growth rate between 5% and 7% on tough comps, however, clearly up sequentially. We anticipate the second quarter margin to be towards the lower end of the fiscal '24 guidance range. Mobility started the year with a strong top line and improved profitability and cash flow performance. Orders at €5.6 billion, up by 92% included several large orders, for example, in Austria, totaling €1.3 billion and Mobility booked a further share of the Egypt project of roughly €700 million, following the commencement date of the second and third line as of the end of December. The backlog increased further and stands at €47 billion. Revenue in the first quarter was up 12% on double-digit growth in all businesses based on strong backlog conversion. A key highlight was 20% growth in the service business. Higher revenues supported profitability improvement to 9.3%, also benefiting from trailing effects related to Russia of around 1 percentage point. Mobility materially improved over prior year's free cash flow performance, yet a seasonally low amount of milestones in down payments as well as bonus payments held it's still back in negative territory. We expect a clear catch-up in the second quarter. Our assumptions for revenue growth for the second quarter is high single-digit on strong backlog conversion. Profit margin is expected to be in the range of 8% to 9% in the upcoming quarter. Let me keep the perspective on below industrial businesses. Chris, more details are in the earnings bridge on Page 22 in the appendix. Siemens Financial Services achieved exceptional performance driven by the sale of an investment in the equity business as planned and included in the fiscal '24 outlook. Portfolio companies continued to deliver robust operational performance while we are pursuing strategic options to find the best owner as indicated before. As Roland said, we booked a gain of €479 million related to the transfer of an 8% stake in Siemens Energy to the Siemens Pension Trust and subsequent termination of Equity accounting. This removes a major source of P&L volatility outside our industrial business going forward. Free cash flow performance in the first quarter reflected sharp improvements year-over-year across all businesses. Operating working capital was seasonally up by €1 billion, mainly driven by inventories, which will decrease in the quarters to come through continuing revenue growth. With a tight grip on working capital, we are very confident to continue our path of strong double-digit cash returns. From a capital allocation perspective, we used €2.1 billion to buy the 18% stake in Siemens Limited India, as mentioned by Roland. Furthermore, we finished our share buyback program of €3 billion in January for a highly attractive average purchase price of €121. As announced in due time, we will launch our next upgraded program of up to €6 billion for up to 5 years. Now, following the successful start into fiscal '24, we confirm our guidance. On Siemens Group level, we anticipate 4% to 8% comparable revenue growth and a book-to-bill above 1. We expect profitable growth of our industrial businesses to drive basic EPS from net income before PPA accounting, excluding Siemens Energy to a range of €1.40 to €11. This outlook excludes burdens from legal and regulatory matters and material impairments as always. And ladies and gentlemen, of course, we monitor macroeconomic volatility closely, and we are ready and will act swiftly if need be. Our direction is clear, we will deliver further value creation by profitable growth and resilient cash generation. With that, I hand it back to Eva for Q&A.
Eva Scherer: Thank you, Ralf. We are now ready for Q&A. [Operator Instructions]
Operator: [Operator instructions]. Our first question comes from the line of Andrew Wilson with JPMorgan.
Andrew Wilson: I wanted to ask on DI orders. I guess you talked to expectation of the sequential improvement in Q2. And obviously, we've seen some of that in automation in the Q1. Can you just sort of help us in terms of the indicators you're looking at to get that confidence? Because clearly, looking at the backlog and looking at the sales guide and then obviously a softer start of the year, which I know has been flagged, just trying to get, I guess, an idea of the confidence you have and the indicators you're using for that in terms of that sequential improvement in orders. I guess we need to see not just in the Q2, but also for the full year.
Roland Busch: Yes. Thank you, Andrew, for this question. Probably a burning one for all of us. And therefore, what we are doing consistently and time and again in the last time I checked last night with my colleagues in China to be really up to speed in answering your questions. I mean big picture didn't change a lot. Destocking is continuing globally, macroeconomic uncertainties and the debate around interest rate changes are not supporting investment sentiment. So, therefore, at the moment, I think it's fair to say that we are still pretty much in the same place where we discussed last year in November. So, not a lot of new data points from macro at this point in time. When it comes to DI automation business as such normalization continues to kick in. Sluggish investment climate has said, is not allowing for higher levels of fast-turning orders. I mentioned that in the presentation. I have to say, however, that the Chinese government just recently has been acting. You do know that on February 5, the PBOC, the results being announced an IRR cut off 0.5 percentage point and released defacto $1 trillion of incremental liquidity, a trillion of remembers to boost the economy that didn't have an impact yet, and it won't before Chinese New Year taking place. So, also, the fact that the annual 2 session meeting will be held in Beijing on March 4th and 5th, will also give confidence and also absorb the momentum of the assertiveness of the government. That's what we do expect when it comes to China. Nevertheless, for the time being, DI has been seeing the backlog coming down to €5.4 billion in automation, which is down €700 million quarter-over-quarter. However, still above pre-COVID levels. And this is, I think, something that needs to also be mentioned and looked at. We still do have higher levels. We don't see any material cancellations taking place. So, therefore, the focus is on inventory levels. I mentioned that in the press call that I mean, talking inventory levels, we are actually talking 3 layers, our own inventories, which we manage quite meaningfully. I think you agree upon that then our distributors and also at the customer. So, this 2-stage approach is pretty difficult to assess. What we do foresee is that in Germany and in the U.S., one of the 2 biggest DI automation countries, if I may put it that way beyond China, we do expect a normalization of the inventory levels by the second half of our fiscal year, as mentioned before. China may be a bit longer when it comes to inventory levels normalizing. I mentioned that before, to give you a bit more color on the distributor side, we do have between 13 and 14 weeks of inventory levels to be delivered outbound, the normal pre-COVID was between 5% and 8%. So, therefore, there is still some way to go. But, again, this is one pillar. The other one is stimulus kicking in and also investment sentiment picking up again, and that's why we confirm and are quite confident that our working hypothesis is that in the second half of our fiscal year, the economic momentum is going to pick up. Then if I may, just a quick deep dive on China. DI orders, there was momentum at the end of the first quarter in December, in particular, still high levels on inventories, as mentioned before, not a real acceleration of outbound sales from the distributors to our end customers. There was only a fairly low level of book-to-bill, so fast-turning businesses and intense competition is also not making life easier for our sales force in the country. Nevertheless, January was quite promising, but still hard to tell where we stand. I mean, we saw an incremental improvement over prior year's numbers in January, but we need to be mindful of the fact that January this year before the Chinese New Year taking place has 6 more working days compared to prior year. So, therefore, it's a bit shaky to conclude from that. And therefore, I just can iterate what I said before. There won't be a lot of more clarity before Chinese New Year. But in a nutshell, we saw the trough in the fourth quarter. We are very confident after the sequential improvement in the first quarter. We do see tough comps for the second quarter, but we definitely are looking forward that we will stand that heat of the kitchen better than others do. So, the first indications for DI in January are promising, but too early to conclude quantitatively from that. But at the end of the day, this is underpinning what we said in November that the way forward, we do expect improvement of sentiment in the market in the second half of our fiscal year. Talking January numbers, just to complete the picture, of course, SI has by far less exposure in China than DI has. I mean, just given the numbers last year, revenues, give or take, 25% of DI was China in automation and only about 7% for SI. January figures for SI have been keeping up the momentum on the top line as we saw that before. So, if you ask me spontaneously, the 5% to 7% top-line growth, which we suggested for the second quarter, maybe rather at the upper end of that corridor. However, maybe with a bit of a less favorable mix than we saw in the first quarter. So, I do hope that this is giving you enough in that tricky environment to conclude. But as I said before, we confirm the outlook that the second half of fiscal year will give us more momentum and economic investment sentiment.
Operator: The next question comes from the line of Andre Kukhnin, UBS.
Andre Kukhnin: I wanted to ask about electrification in SI, given that also the profit contribution from size approaching that of DI in the last quarter. On the electrification business, I wanted to get your view on kind of broader market capacity for growth there. I see the orders kind of topped out on very high comps, while revenue is still growing 20%. What do you think is the kind of full potential for this segment in terms of market growth? Are you adding capacity in this space? And maybe just a small other add-on. In terms of data centers, you've obviously quantified the 5% revenue exposure. Is it similar in terms of orders? Or is it meaningfully higher now given the large orders that you've booked that you mentioned?
Roland Busch: So, thanks for asking this. Let me talk about this electrification business is obviously, there's another one next to it, which is electrical products. So, the later one is the more the low voltage and what we call electrification is everything which is medium voltage, it's grid automation or network automation and its software. So, obviously, let me start with a question on electrification. I mean, this is a secular trend because, I mean, the world is running through this energy transformation, which is basically electrifying whatever you can electrify because you can, number one, power it with renewables. And number 2, once you electrify, you can drive energy efficiency on a much, much higher level. So, this trend, obviously, is going on. Along with that, if you think about the new investment, which is going into it, I mean, talk about semiconductors, they need power, and they need reliable power. I mean I have to highlight that the same thing holds true for battery manufacturing, any kind of new investment on data centers obviously does. So, the point is, number one is the secular growth trend to electrify. It's a lot of money going into that and don't underestimate also the data center space, Microsoft builds a new one every month. And the requirement on really high-quality, reliable electrification products is quite high. And there's one last one. If you're a global active company talking about data centers, obviously, they want to standardize and they want to get the same products in the United States and Middle East and wherever they go in Europe. And this is where it all comes back to Siemens. Number one, we have high-quality reliable products. We have deliverable quality, deliverability, and we have a global network so they can get the products. The last point is that this is very often also customized. I mean, even if the core technologies, the cost within technologies are the same, they are then geared for kind of adapted, so to speak, bespoke adapted to the requirements. And that's what we can do as well. We do have capacity. We know for low-voltage products. We added capacity in the United States, opening a new plant there in Fort Worth tellers. We have capacity also in China where still electrification is also running very well, the same in Europe. So, therefore, from that perspective, there's no immediate need for earning capacity. But at the same time, our people are driving productivity very much in digitalization and automation, all our manufacturing equipment. Good example is when I visited recently, our United States manufacturing, you can see that. So, all in all, the last point is we have a strong grip on the supply chain. So, that means we deliver to customers' needs. I hope this answers your questions.
Ralf Thomas: Yes. And maybe a word on data centers. I mean this is a remarkable poster child of what we mean when we say we have repeatable, scalable offerings for our customers that really make a difference. I think we are in the sweet spot of the market. We are in the process of kind of setting standards in that field. And therefore, the fact that we have been growing the business literally from scratch in a relatively short period of time definitely exceeding €2 billion of new orders in the current fiscal and exceeding €1 billion in revenues. I think this is something we can build on and this is encouraging us a lot that with that clear leadership in technology with the availability at customers' request and with the capabilities to scale quickly, I think we are setting a standard here and are capitalizing on that.
Roland Busch: And one more thing, last thing because we are excited about this business, too. Number 2, there are 2 elements, which very often are overseen, number one is the good software. It's from a volume perspective, still picking up, but we have a really highly competitive offering with our new setup, not only for the large Catasystems, control systems but also for the industry like microgrids. And the last one is the automation piece. So, grid automation. We are a clear market leader there on a high level and very high profitability, and this is also growth, which is picking up, too.
Operator: The next question comes from the line of James Moore, Redburn Atlantic.
James Moore: Could I ask about the profitability in DI and some of the levers on the margin, I wondered if you could expand in a few areas. I'm thinking about your comments on the economic equation being neutral in the first quarter and why you expect it to improve in the second half. Is that price rising or cost falling and tied to this? I wondered if you could say whether this is the year that the software margin drops on the sales transition or whether that was last year. And any forward commentary on how FX compared to the 100 bps and mix play out as we progress through the year would be very helpful.
Roland Busch: Thanks, James, for the opportunity. I mean when I said that the economic equation was neutral, it was slightly positive, to be honest, but not worth to mention in the first quarter. We said that there is only very limited room for incremental pricing in the market at the moment, obviously. So, therefore, this is not a lever to play on in current fiscal year. There is residuals from backlog execution, but not big enough to really make a difference. Then, we do see that, in particular, [indiscernible] increase is locked in. There's no way around that. And from that angle, the single biggest and most effective lever is going to be productivity. I had mentioned in November that typically productivity measures and the efficiency and effectiveness is ramping up over the course of the quarters. That's why there is a clear plan that the economic equation for DI will be net positive for the full fiscal year. We do see tangible plans. You know that we have a pretty well-established rigor in executing and controlling those measures. So, I have no reason to doubt this is going to kick in, in the quarters to come. When it comes to software margin, I mean, we said that we are in investment mode. And I hope you agree that with the KPIs we shared with you timed again, there is massive momentum building up. So, as long as we do have an opportunity to nurture that momentum, we will do. So, we are not focusing on optimizing the margin at the current stage, but rather on incrementally accelerating where we can. That's why we also can commit on an earlier than originally planned 40% cloud portion in ARR, so, economically and from an investment perspective, this makes a lot of sense creating value way forward. So, therefore, I wouldn't want to commit myself to that one. But from a tendency perspective, of course, you are right. I mean, we are seeing that the fish ball is at least closed, and therefore, it's going to improve on the way forward. But I wouldn't exclude continuing in investment mode, as mentioned before, as long as the market is so keenly absorbing that as we see that at the moment. Talking exchange rates. I mean, I had been trying to estimate back in November and said 100 basis points, unfortunately, it materialized for DI we're going to see exposure on the way forward, mainly U.S. dollar driven, of course, not the same magnitude, but still potential negative impact, in particular, in the second quarter, which is tailored into the guidance we are giving for that very quarter. But on the way forward for the end of the fiscal year, I do see the tendency being more neutral from today's perspective, but you also know and we all know that as long as the reserve bankers didn't make up their mind on when to move or not move the interest rates, this is going to stay volatile in hypothetical. So, from that edge, I think we need to live with that uncertainty for the time being.
Operator: The next question comes from the line of Max Yates, Morgan Stanley.
Max Yates: I just wanted to ask on the DI revenue growth guidance. Obviously, kind of minus 1 kind of this quarter, slightly negative next quarter. I guess, is this how you kind of envisaged the year playing out when you gave the guidance sort of 3 months ago? Or has the world sort of evolved a little bit slower in any areas, kind of Germany, potentially China than you would have expected? And I guess in addition to that, is there any way you can help us from what kind of sort of order improvement you would need to see from the sort of €4 billion level to justify revenue growth turning positive in the second half to then get within that guidance range? Just any way we can think about sort of connecting what do we need to believe on the orders to justify the rate of improvement in revenues?
Roland Busch: Thank you, Max, for that one. Let me start with the latter one. I mean with order improvement, of course, we are focusing very much on automation, but we shouldn't forget that also software. As we said, had a rather slow start into the fiscal year, good on the PLM side, not that vital and vibrant when it comes to EDA, that's going to change over the quarters. As indicated before, pretty much the same expectations that we shared with you in November. And on the automation piece, I mean, we said that the first half of the fiscal year, we consider to be rather muted inventory level management is driving the team more or less. Is it in line with the expectations we had pretty much so? I mean, we said there will be a sequential improvement in the first quarter, and that has been kicking in. We have been materially up over the fourth quarter in the AI Automation in the first quarter. Now, as I mentioned before, Chinese New Year, this is definitely a source of not helping to be more transparent at the moment. I mean, January figures have been quite promising, but I also have been referring back to the fact that we have 6 more working days in January in China compared to prior year. So, year-over-year January comparisons don't make a lot of sense. So, therefore, after Chinese New Year, we will have more clarity when it comes to that important market. I also have been elaborating on inventory levels normalizing in other important geographies like Germany and in the U.S. with the second half of the fiscal year. So, in a nutshell, I would say that we are pretty much in line with the seasonal pattern that we anticipated when we gave the annual guidance. The first quarter was according to what we expected, second quarter with uncertainty in particular in China, I mentioned. And then in the third and fourth quarter, we do expect a materially picking up order activities in all jurisdictions. And what we also, of course, said is that it's not only the inventory levels normalizing, it's also 1% if investment sentiment is coming back. We know that from the past, then we do see fast turning orders as we call them, you get the order and you immediately book and deliver. So, therefore, this is nothing uncommon. This is something that typically happens when that momentum is kicking in. So, therefore, in a nutshell, we are quite along the lines of our expectations when we gave guidance for the full fiscal year in November.
Eva Scherer: This concludes our call for today. Thanks a lot to everyone for participating. As always, the team and I will be available for further questions. Have a wonderful day and goodbye.